Operator: Thank you, for standing by. My name is Karen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Bloom Energy Q4 2024 Earnings. All lines have been placed on mute, to prevent any background noise. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] I will now turn the call over to Michael Tierney, Vice President of Investor Relations. Please go ahead.
Michael Tierney: Thank you and good afternoon, everybody. Thank you for joining us for Bloom Energy's fourth quarter 2024 earnings call. To supplement this conference call, we furnished our fourth quarter 2024 earnings press release with the SEC on Form 8-K and have posted along with supplemental financial information that we will reference throughout this call to our Investor Relations website. During this conference call, both in our prepared remarks and in answers to your questions, we may make forward-looking statements that represent our expectations regarding future events and our future financial performance. These include statements about the company's business results, products, new markets, strategy, financial position, liquidity and full year outlook for 2025. These statements are predictions based upon our expectations, estimates and assumptions. However, as these statements deal with future events, they are subject to numerous known and unknown risks and uncertainties as discussed in detail in our documents filed with the SEC, including our most recently filed Forms 10-K and 10-Q. We assume no obligation to revise any forward-looking statements made on today's call. During this call and in our fourth quarter 2024 earnings press release, we refer to GAAP and non-GAAP financial measures. The non-GAAP financial measures are not prepared in accordance with U.S. generally accepted accounting principles and are in addition to, and not a substitute for, or superior to, measures of financial performance prepared in accordance with GAAP. A reconciliation between the GAAP and non-GAAP financial measures is included in our fourth quarter 2024 earnings press release available on our Investor Relations website. Joining me on the call today are KR Sridhar, Founder, Chairman and Chief Executive Officer; and Dan Berenbaum, our CFO. KR will begin with an overview of our process, and then Dan will review financial highlights for the quarter. After our prepared remarks, we will have time to take your questions. I will now turn the call over to KR.
KR Sridhar: Good day everyone. What a year it has been for the power industry. We are witnessing major industry transformations in areas like AI, robotics, automation, the electrification of transportation, all creating demand growth the likes of, which have never been seen by the power industry. This is a paradigm shift for a power business. For decades, many power utilities believed they were in a death spiral. They operated with the belief that they were in a shrinking business, and divested significant assets. They were unprepared for a sudden spike in demand. This has created an enormous opportunity for scale solutions that can offer timely, reliable and clean power. At Bloom Energy, for the last 24 years, we've been building a company with the deep rooted conviction that humanity needs more power, not less. We have also been convinced that resilient, always on distributed power is an essential and necessary supplement to the centralized grid. Our core technology, the fuel flexible solid oxide platform, is the best way to convert molecular fuel to on-site power. Our disciplined approach, unperturbed by fleeting trends, has made us the preferred choice for businesses seeking to take control of their power, and for utilities looking to satisfy customer needs. Now Bloom is prepared to meet the moment, satisfy customer needs and seize this opportunity. And we already are. I want to thank the hard working team at Bloom, for delivering a spectacular 2024. Bloom achieved record revenue and profits for both the fourth quarter, and the year. We were operating income positive for the year, and delivered positive cash flow from operations, a solid $92 million over the last year. Another first for us. In 2024, our service business was profitable every quarter and for the year. We achieved this milestone by improving the life and reliability of our fuel cells, reducing the cost of replacement units, and using AI and machine learning, to optimize the field performance of our systems. I expect us to build on these improvements, and deliver increased service margins in the years to come. Our operations team, continues to deliver with speed, scale and efficiency. In keeping with our long tradition, we delivered another year of double-digit product cost reductions. We will have the capacity to meet time sensitive power demand. This will enable us to deliver fully functional power solutions in months, reinforcing our status as a solution of choice, for time critical power deals. On the innovation front, in 2024, we further strengthened our market position by successfully deploying our islanded and micro-grids, providing power to our customers without grid interconnection. We expanded on our partnership with Quanta to create Bloom's largest islanded load following industrial installation. We view our demonstrated ability to provide tens of megawatts, of reliable power to our customers within months of an order, as a huge competitive advantage. We're focused on heat capture and carbon capture solutions, two valuable add-ons to our core offering. And our commercial team delivered strongly in 2024. Power hungry customers in the U.S. transacted with a sense of urgency in 2024, and we expect this increased velocity to continue in 2025, and we are meeting their demands. Four years ago, most of our bookings took two to three years, to deploy and convert to revenue. The majority of 2024 revenue came from deals that were both signed, and recognized in the same year. I expect us to continue to deploy orders quickly, just as we did in 2024. Because for many customers today, the most important purchasing criteria, is time to power. They need reliable power and they need it now. Our Bloom solution, is purpose built to meet that need. I talked about AI and data centers on our last earnings call, and we remain excited about the opportunities ahead. Bloom's current sales funnel in the data center segment, primarily driven by both training and inference AI applications, is strong, diverse and robust. We view the data center segment, to be a strong engine for growth. In addition, our order book and funnel show, very healthy diversification. Our commercial and industrial C&I market segments are strong and an important part of our growth story. C&I customers are impacted by the domestic power shortage aggravated by the massive AI data center electricity needs. There is growing sentiment in the non-AI sectors that their power needs arising from reshoring, growth and automation will be deprioritized, and result in unpredictable and higher power prices, a predicament they want to avoid. As a result, we have seen an uptick in our C&I segments. We secured orders from multiple large telecom companies, retail, manufacturing, education and healthcare segments, who are proactively securing their own power. We are thrilled that a vast majority of our U.S. sales, comes from repeat customers, a testament to our products and services, and the trust customers place in us. The quality of logos in our order book, and the potential to increase our share of their total electricity spend, augurs well for our future growth. We are also partnering with innovative utilities, looking to add capacity. I expect to see more such arrangements in the future. Bloom has won orders in Ohio and Illinois, and we are now competitive and attractive to customers, in the Great Lakes region and the Midwest. On the international side, South Korea remains an important market for us, and this business is steady. We continue to win orders, through annual auction and outside development, with our partners SK ecoplant and SK Eternix. Additionally, our commercial team is focused on delivering wins in other parts of Asia, and in Europe this year. In sum, I believe that having strong sector diversification, combined with a strong geographic diversification, will enable Bloom to become a global energy player. 2025 is off to an excellent start, with strong inbound customer interest. I want to touch on one more thing, the ITC or Investment Tax Credit. By using the Safe Harbor provision that is fully compliant with treasury guidance, Bloom's customers, financiers and other commercial ecosystem partners, have collectively secured the option to receive full ITC benefits for their future purchases. They are entitled to 40% credits nationwide in light of our U.S. manufacturing, and 50% credits in predefined energy communities. They can enjoy the tax benefits for systems placed in operation in the United States, between now and the year 2028. This Safe Harbor, if fully exercised, has the potential to yield between $12 billion and $15 billion of gross product revenue to Bloom. Now, I'll hand it over to Dan, to walk us through the numbers, and I'll join you afterwards to answer your questions. Dan?
Dan Berenbaum: Thank you, KR. And good afternoon everyone. On our November earnings call we spoke about our confidence in meeting annual guidance targets despite needing a record financial performance in Q4 to get there. We had that confidence, because we understood our customers projects, the products that we were expecting to ship, and the terms associated with those deals. As we've discussed, this is a project based business with quarterly variability. We are pleased that we were able to set and meet realistic targets. Before getting to our results and guidance. I wanted to thank all of our employees at Bloom, for incredible execution in 2024. Let me call out, three highlights that the team drove this year. First, we turned free cash flow positive for the full year for the first time since 2019 $92 million full year cash flow from operations, less $59 million spent on CapEx. Second, record full year gross margin of 28.7%, and third service business that had positive non-GAAP gross margin in all four quarters of 2024, and a $4 million full year non-GAAP gross profit, compared to a $33 million loss in 2023. None of that would be possible without this fantastic Bloom team. Let's talk briefly about Q4, and then in more detail about the full year 2024. As expected, at a quarterly revenue record of $572 million, we saw nearly 40% of our full year revenue in Q4. This was an increase of 60% over the fourth quarter of 2023, and up 73% from Q3, 2024. This is a business with leverage to scale. We saw that in Q4 as non-GAAP gross margin of 39.3%, was up significantly from 27.4% in the fourth quarter of 2023, and also a meaningful improvement from 23.8% in Q3 of 2024. Non-GAAP operating profit for the fourth quarter, was $133 million, an increase of $106 million from the fourth quarter of 2023, and an increase from Q3 to $8 million. Non-GAAP EPS was $0.43. Q4 cash flow from operating activities, was $484 million. As expected, we collected our large related party receivable in Q4. Additionally, in the spirit of our long standing partnership, during Q4 we assisted our partner SK ecoplant to sell a majority of the 73 megawatts of energy servers that they had held as part of a delayed project. Turning to our full year 2024 results, revenue was a record $1.47 billion, up 10.5% from 2023. Non-GAAP gross margin of 28.7%, was up from 25.8% in 2023. Non-GAAP operating profit was $108 million of $88 million from the previous year on a revenue increase of $140 million over 60% drop through to operating income. Non GAAP gross profit in our service business was $4 million, a significant improvement from the $33 million loss in 2023, as I mentioned earlier. Service was profitable on a non-GAAP basis during every quarter of 2024. We expect to drive continued improvements in service profitability, as we move through the next several years. In addition, we recorded another year of double-digit core energy server product cost reduction. We expect to continue this double-digit product cost reduction, which benefits both product and service. As I mentioned earlier, Bloom also generated positive cash flow from operations, and positive free cash flow for the first time since 2019. We view this demonstration of our ability to generate cash, as a key milestone for the business. We ended the year with $951 million total cash on the balance sheet. Before we get to guidance, I want to talk a bit about how we think about the future potential of the business, as well as how we think about the metrics that are important to running our business. We have $2.5 billion of product backlog. Excluding dynamics around our supply agreement with SK ecoplant, our product backlog would have been up roughly 30% year-over-year. As a reminder, at the end of 2023, we had extended the term of our SK ecoplant distribution agreement to the end of 2027, and increased their purchase commitment to 500 megawatts, all of which was included in our year ending 2023 backlog. Shipping to that agreement will naturally draw on our backlog. So we want to be clear that elsewhere our product backlog is increasing. We also have $9 billion of service backlog. As we've discussed in the past, we have a 100% attach rate of service, with our product sales. Our service contracts are anywhere from 5 to 20 years, leading to a large long-term backlog. With respect to how we think about the business. As we've discussed over the past few quarters, management is primarily focused on overall revenue, product revenue growth, non-GAAP gross and operating margin and cash flow from operations. In the past when we were primarily shipping grid connected, baseload power, and timing of product revenue recognition was somewhat divorced from timing of product shipments. We felt it was important to look at kilowatts shipped to measure and assess performance. Now our product revenue is primarily recognized on shipments. Further, we're offering multiple solutions-based around our core energy server islanded microgrid load following to AI data center standards, carbon capture, combined heat and power and others, which add value to our customers in a way that isn't measured in simple kilowatts. As a result, simple proxy of ASP or cost per kilowatt is a less relevant way to look at the business than it was a few years ago. This brings us to guidance for 2025. 2024 was a good year for Bloom, and we expect 2025 to be better. We expect 2025 revenue of a range of $1.65 billion to $1.85 billion, non-GAAP gross margin of approximately 29%, and non-GAAP operating income approximately $150 million. We also expect positive cash flow from operations, around the same level as we saw in 2024, and we expect CapEx to be around the same levels of 2024. Of course, we will adjust our expenditures as needed as we see business opportunities. At the midpoint of our revenue and operating margin guidance, we would see mid-teens percentage drop through, of revenue to operating profit, strong leverage for a high single-digits percentage operating margin business. A quick note on share count, our fully diluted share count exiting 2024, is approximately 294 million shares. In Q4, both GAAP and non-GAAP EPS, were calculated using the as converted method, that is using our fully diluted share count, and adjusting for interest associated with potentially dilutive instruments that are assumed to have been converted. For the full year 2024, our EPS is calculated using our basic share count of 227 million shares, as inclusion of shares associated with our convertible notes, would have the effect of being anti-diluted. We expect 2025 revenue, to have a similar pattern to 2024. Near term, we expect Q1 to be up approximately 20% to 30% year-over-year, compared to Q1 at 2024. In short, we had a great end to a great year, and we expect continued profitable growth in 2025 and beyond. Management will be on the road speaking with you for the next few weeks. We'll attend the Morgan Stanley Power Conference on March 3, and the Jefferies Power Utilities and Clean Energy Conference on March 4, both in New York City. We'll attend the Morgan Stanley Technology Conference in San Francisco on March 5 and 6, and we'll also attend both the ROTH Capital Conference in Dana Point, and the Piper Sandler Energy Conference in Las Vegas, where both March 16 to 19. Before entering our Q1 quiet period. With that operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from Andrew Percoco from Morgan Stanley. Your line is open.
Andrew Percoco: Great. Thanks so much. Good evening guys, and congrats on a strong quarter. I guess maybe just to start off again, congrats on that AEP announcement back in November. So just maybe to start there, should we expect to see more of those types of agreements in 2025, where it's with a large utility rather than direct to the data center. And if the answer to that is yes, can you maybe just give us a sense for, where you are in that process? Are we early stage, mid stage, late stage? Any color on cadence or timing of maybe additional agreements, would be great. And then maybe my second question, just asking both at once, is this around the balance sheet? I think it's clear you guys have a very strong growth pipeline, ahead of you. Can you just talk about how you're thinking about funding this growth? Free cash flow obviously turned positive this year. Is that enough, or is there a reason to be maybe be opportunistic, and raise some capital to ensure you have the means to, exploit this growth opportunity? Thank you.
KR Sridhar: Andrew. Thank you very much. This is KR and again on your first question, yes the answer is we are talking to several utilities who are interested in some kind of arrangements along the lines of what we announced with AEP. And it is A, they are realizing that no matter how fast they augment their transmission distribution system, no matter where generation happens or not, getting the power to the end customer, between now and 2030, is going to be a big issue unless you produce power where you need it. And using Bloom to do that is very advantageous for them, from a time to deployment permitting ease, reliability, not needing backups, are being air pollution free, therefore being able to get air permits. For all those reasons they like our technology. And more importantly, if that growth is being driven by data centers, the reliability of our modular fault tolerant architecture is unbeatable. Now the other dynamic that we are seeing there is this strong sentiment about the growth being, the investment being made to fuel the growth for data centers that, cost not be passed on to the ratepayers. So many utilities are trying to work, with their own jurisdictions, to make sure that that construct is available. I would say the long pole, as I see it to more deals like this happening, is that construct being worked out between the utilities in the states. But several of them are talking to us. So I can't give you a timing on it. I would expect that to happen, but I can't give you a timing. On the question of capital, as you know, we've been speaking about something very important about Bloom, which is our capital efficiency. For us to grow in modules of hundreds of megawatts. As we see the growth, using the same facilities we have here in California and in Delaware, we don't need to increase our footprint. We can grow few more gigawatts, from our already gigawatt scale in that footprint, in a very capital efficient manner. And we are managing our working capital really well. So for the foreseeable future, just for this growth, we don't need to be thinking about how we - fund it. We feel very good about it. Dan, you want to add anything to that?
Dan Berenbaum: Yes. Well, I'll add. Thanks KR and Andrew, thanks for the question. I'll add a couple of things. And one, obviously we're very pleased that we were able to generate the cash flow, from operations that we did this year. You recall in the last call we talked about being cash flow from operations positive, for the second half. We're able to execute to be cash flow from operations positive, for the full year and we expect something around that same level. So for 2025, so we are being pretty tight about how we manage working capital. We're being very tight around how we manage expenses. We are investing prudently in the right things for the business. And to echo KR's comments, as we've said before, we're quickly approaching about 1 gigawatt worth of manufacturing. We've talked about being able to triple that capacity for roughly $150 million. So as KR said, we're able to grow our capacity in a very capital efficient manner. And to be clear, we will do that when we see the growth. We will do that prudently. Our operations team, is able to do that in a relatively short time frame. In other words, we would expect to have visibility to the business, before we need to commit the capital. So we think we've got a good balance there, and we're set up in a good position. The other thing I'll just add, since I want to mention that cash flow from operations, a lot of you have always asked about how much factoring we do. I'm very happy to say that we didn't do any factoring in Q4. So again, very a much healthier liquidity position than we've been in in the past.
Andrew Percoco: That makes sense, and that's great. Thank you. If I could squeeze one more in here. When I look at the guidance, when I look at your backlog, I guess how much of your existing backlog is scheduled for delivery in 2025, and how much book and ship do you need to essentially do to get to the midpoint of your guidance range for 2025?
KR Sridhar: Andrew, we don't like to discuss that, as you said in the past. But you can very clearly see this whole business, because of time to, like time to power has become a velocity business. It's picking up velocity like crazy. The need for power and the premium that customers are willing to pay for solutions like ours that, give them power quickly is unbelievable. So compared to 2020, when it was two and three years out, from the time we booked to when we could recognize revenue majority, a vast majority of last year's revenue came from booking, building, shipping and recognizing revenue in the same year. We would expect that same trend to continue like this year, too. Thank you.
Andrew Percoco: Great. Thank you.
Operator: The next question comes from Chris Dendrinos from RBC. Your line is open.
Chris Dendrinos: Yes, thank you. And congrats on the quarter and the year. I guess maybe to start out and touching on the backlog here, could you maybe breakdown a little bit more the components of that? Just how much is AI, how much is C&I, and maybe the verticals or the sectors within that? Thank you.
Dan Berenbaum: So Chris, thanks for the question. We're not going to breakdown the components of that backlog specifically. Look, I think KR talked about, the business momentum that we have, we're seeing a lot of time to power requests. We've talked about our U.S. C&I business being strong, and we've talked about the general business trends. But we're not going to talk about what's specifically reflected in our backlog. And again, some of what's in our backlog. We talked about more of that time to power, more of that book and ship, becoming an increasingly more important part of our business. So I think, KR made some commentary about the segments that are growing for us. That's where I would focus when I think about the growth of our business.
KR Sridhar: And on a higher level in terms, of what we have deployed, right. I think, we've already given you that kind of numbers, is that roughly one-third of our deployed backlog of greater than 1 gigawatt is towards data centers. And what is happening is that sector obviously is growing a lot faster, than everybody else. But the key point I want to make is that C&I sector, which is the non-data center sector, is really growing fast too, but not at the pace at, which the data center is growing. So both sectors are growing for us.
Chris Dendrinos: Got it, thank you. And then maybe to follow-up on the ITC and maybe I missed something, but I didn't. I thought that was rolling off at the end of last year. So if you could maybe just clarify that point. And then, you mentioned I think $12 billion to $15 billion of opportunity to you all for that. How are you thinking about that opportunity and realizing that? And then what's been the response from the customer base? Because I think a 50% or maybe even 60% ITC with the energy community adders, a pretty big game changer for you all in terms of cost competitiveness, versus anyone else?
KR Sridhar: Yes. So let me first get the numbers to you slightly differently. 40% of ITC if you deploy it anywhere in the United States by 2028, and 50% if you're in energy communities. So 40% and 50%, not 50% and 60%. Now there is, under the treasury guidance, there was a provision of Safe Harbor as long as its work in progress, and it's very well defined and there are multiple ways, to get to that work in progress. If you have work in progress, then as long as you deploy the systems by 2028, you are still eligible for the investment tax credit, as it rolled off last year. So what we have as an option for our customers, our financiers and our ecosystem, to be able to utilize roughly translates again depends on exactly what that installation is Microgrid not, somewhere between $12 billion and $15 billion worth. What does that mean? What it really means is anybody in the U.S., who wants to deploy between now and 2028, should be able to find a provision through this safe harboring. So ITC is no longer a Bloom issue through 2028. Thank you.
Dan Berenbaum: And Chris, I'll just elaborate a bit on the mechanics, mechanics, care I talked about. That's just investment tax credits in general. It's similar in other industries as well. So this concept of the Safe Harbor provision, that's in the treasury guidance, right. We've tried to communicate this in a very simplistic manner. If you have commenced work on the project, if you have spent a certain amount of money on the project within the period before the expiration of the ITC. Then the remainder of the project up to the treasury guidelines, is still able to avail itself of the ITC. And just a reminder, it's our customers that avail themselves of the ITC. We don't directly benefit from the ITC. It's our customers, our customers, projects that are able to avail themselves at the ITC.
Chris Dendrinos: Got it. Okay, thank you.
Operator: The next question comes from Colin Rusch from Oppenheimer. Your line is open.
Colin Rusch: Thanks, so much guys, and congrats on the strong end of the year. Can you give us a sense of, the revenue recognition, appreciate the detail on that going forward. How much of that, of the 2024 revenue would have been impacted by those revenue recognition policies?
Dan Berenbaum: We generally recognize our product revenue on shipment. I think we've been public about that. So I'm not, I'm not really sure…
KR Sridhar: We haven't changed that.
Dan Berenbaum: We haven't changed any revenue recognition policies. But maybe I don't understand the question, Colin.
Colin Rusch: Let me take it offline then. Maybe I misunderstood the comment earlier. So then, going forward here on a margin perspective, can you talk a little bit about the input prices, and your supply chain and any impacts on tariffs here, as you enter 2025?
KR Sridhar: Look, where will tariffs go, and what will that mean globally is something I think as a country, as a world, we're all trying to figure out as we go on a daily basis. But it's important for you to recognize that, cost reduction is in the DNA of Bloom Energy. Every single year for the last 12 years, other than one-year of COVID. We have been able to show double-digit cost reductions. They come from various different mechanisms, from diversity of supply base, the geographies of where we procure our materials from the efficiency with, which we manufacture, the yield that we get, the engineering advances that we make, all those lead to a cost reduction. So while definitely tariff related issues can be a potential headwind for us, it's one of many factors and we as a company are committed to finding ways around, and still getting to cost reduction. So, tariff is definitely in the playbook for us to say if that comes, we have to deal with it. And that's a reality that we can't change. But the reality we can impact this cost reduction and we are committed to that cost reduction.
Dan Berenbaum: Yes. And I'll just take the opportunity to really put a plug in for our supply chain team. They've done a great job with diversification of our supply base, working with our engineering and quality teams, working with our manufacturing teams. So of course we look at tariffs, of course we look at a whole host of issues when we think about the business, when we think about the modeling. We think about guidance, we think that we give. All of these factors come into our thought process. But I will say I've been super impressed. I've been here just about a year now. I've been super impressed with how - what a great job supply chain team has done to diversify that supply base and to really be thoughtful about things like eventual potential tariff impact.
KR Sridhar: And one important aspect also that helps us, as we are not dependent on China for a supply chain. And that is super important as we look at where we are today. Thank you.
Colin Rusch: Thanks. Let me just sneak one more in. In terms of the backlog, how much of the backlog is dependent on incremental execution on gas infrastructure getting put into place in 2025?
KR Sridhar: Again, it is a big mix. When we look at quarter-to-quarter, what we implement it is about it like depends on how quickly the projects are ready. That's why we gave it, we give a range of numbers. It's not just whether we can build and ship, it is whether those projects are ready. In many places it's available. In some places it takes months, and in other places it may be more than a year. So not a single answer to your question. It is across the board.
Dan Berenbaum: And look, you're bringing up a great kind of underlying point, and we talked extensively last quarter about how this is a project based business, right. But look, we've given you guidance for the full year, we gave you guidance for Q1 within a range. So we take all of these factors into account when we give that guidance.
Colin Rusch: Thanks so much guys.
Operator: The next question comes from Dimple Gosai from Bank of America. Your line is open.
Dimple Gosai: Hi there. Thanks for taking the question. Could you talk a little bit about your ASP strategy in light of ITC expiration, and that kind of weighed against, the premium customers are willing to pay for time to power, as you spoke about. How do you kind of think this through, and also second to that in terms of cost cutting, do you have any targets in place? I think you were doing a 10% reduction. Was that per annum or cumulative? Can you remind us what that that was at some point? Thank you.
KR Sridhar: So number one, I just explained ITC, is not going to impact us, given how much potential option our customers and our ecosystem have through 2028. The pricing is going to depend on what we can command in the market. It's a value and we don't discuss that. In terms of, and you can see the discipline we have had in maintaining pricing, and maintaining margin. And given what a superior solution with value we offer to our customers, they're happy with our service and they pay for that service, number one. Number two, in terms of cost reduction, yes it is. We have had for the last 15 years, if you follow the company, we have had double-digit cost reductions per annum other than the years of COVID. Thank you.
Operator: Next question comes from Manav Gupta from UBS. Your line is open.
Manav Gupta: Congrats on a very strong quarter guys. I'm not - my question I'm asking doesn't have a quant answer, but more on sentiment. Market was finally beginning to realize the needs of the data center power market and it was great, flowing nicely, the information was flowing nicely. And then the boat got rocked with DeepSeek, and what Microsoft did or did not announce. What I'm trying to understand is, because you talk to all these data centers, did anything actually change for you on the ground, from these announcements? So what the market was trying to understand is, if you were talking to 100 people the day before, did that suddenly drop to 20 after these announcements? If you could talk about that?
KR Sridhar: Manav, great question. Thank you. So all that I can say to you is every single day, the franticness that we see from our end customers, about being able to secure power, is going up and not down DeepSeek or no DeepSeek. So let me paint a very simple picture for you that will tell you why that should be. You all probably were like listening to like rest of us. The earnings call from NVIDIA yesterday, okay. Whatever they shipped in that quarter, 90 days, if it were fully facilitized in a data center, will consume anywhere between 2 and 2.5 gigawatts of new power. That's the capacity that's needed. With the growth guidance that they gave you. You fast forward that for the next 12 months. That's just the chips coming from that one company. Fully facilitized will be somewhere in the range of 10 to 13 gigawatts. More than 50% of that is going to stay in the United States. That's more than 6 gigawatts. You're talking about $500 billion worth of infrastructure outside of power. That has to happen even at $5,000. Sorry, $5 billion in terms of facilitating that per gigawatt, that's less than 10%. Let me make this very clear. You're spending more than $500 billion building a data infrastructure that needs power. If power is not available, and the chips you're installing there have a very short shelf life, because they become old, every year the value of that chip drops like crazy. So the time to power premium is so high, and the cost of bringing that power, even if you pay the premium is worth every penny of it. So DeepSeek, no DeepSeek half the amount of power needed. These numbers are still astronomical numbers. So they make absolutely. If you understand what is going on in the power industry, based on AI and where the solution set is available, these are all noise on the margins. They have nothing to do with the reality of the business. Hopefully I answered your question.
Manav Gupta: No, that is exactly what we wanted to hear. My quick follow-up here is, there is a change in the way people are thinking about the business. When we look at the midstream companies, whether it's Kinder Morgan, TransCanada, ET, all these companies are now finally talking about behind the meter solutions. So clearly you're talking to the data centers. I'm just trying to understand how, are the conversations going with midstream companies. Not looking for numbers, but are you seeing midstream companies now more open to you, coming to you and saying look, we need a solution in six or nine months and a combined cycle gas terminal might take three years. So are those discussions also happening?
KR Sridhar: Yes, the answer is yes to all of the above. Oil and gas is super interested. You have seen some public announcements come from both large and midsized companies in that regard. I think it is going to take all those players, and more for us to be able to meet this unprecedented demand that we're seeing. So yes, we are having conversations at all levels right now. I can't handicap it for you, but those conversations are happening.
Operator: The next question comes from Michael Blum from Wells Fargo. Your line is open.
Michael Blum: Thanks. Good afternoon, evening everyone. Wanted to ask a little bit on the AEP deal. We saw the first 100 megawatts were deployed in Ohio. Is there anything beyond that in '25 guidance, and then just anything incremental you can share on that remaining 900 megawatts? Thanks.
KR Sridhar: So on the, on our like customer deals, we always let our customers speak to it rather than us. However, you can notice that publicly AEP, CEO has said that the reason they got this is, to facilitate data centers in Ohio, and other states that they operate in. And they are in serious discussions with a lot of them.
Michael Blum: Great, thanks for that. And then just wanted to ask, on the gross margin guidance for 2025, it's roughly flat with '24. Can you speak to any puts or takes that might be limiting further improvements this year? I know you talked about your aim, to continue to improve service margins, and of course you already talked about the fact that you're constantly streamlining cost and efficiency on the core products. So just want to understand the dynamics around gross margin? Thanks.
Dan Berenbaum: Yes, no, Michael, I mean you answered the question for me. Those were all the right dynamics to think about. Look, we executed extremely well on margin, particularly at the end of 2024. And so, when we take all of those dynamics that you discussed, we take the fact that, we're having increasing demand from things like islanded microgrid, AI load, following some new products that incorporate a lot of third-party gear that we're starting to install. We felt like this was the right place to put the gross margin guidance.
Operator: The next question comes from Sherif Elmaghrabi from BTIG. Your line is open.
Sherif Elmaghrabi: Hi, thanks for taking my questions. I'll ask them at the same time, because they're kind of related. You mentioned growth in Asia beyond South Korea. Would any of the energy servers in these markets be covered on the agreement with SK, or should we think about that as incremental? And on a related note, you talked about CapEx for growing your production capacity. But could you pull the Fremont expansion forward? And if you could speak to any level of product acceptances, where you would start to think about the expansion, that'd be helpful?
KR Sridhar: Great. They're both very good questions, Sherif. So let me address the Asia question first. The answer is yes in that A, we have our own salesforce working in a few countries outside of Korea, to be able to expand in that market. But should our partners SK bring deals for us forward from other Asian countries that they operate in? Will we accept that and accept that as part of their contract? The answer is yes, we will do it both ways. So very, very open to both and would like to see both happen actually. And then if you look at the CapEx question that you asked, look, here is what we are telling our customers today. We will not be the limiting factor to you getting power, and we are demonstrating to time to power applications that we are able to keep our promise. So our goal is every quarter that goes by, to prove we are the preferred solution for anybody who has a time to power problem. This is what we're doing, and we have a very clear strategy, a plan and an execution behind it that we're very confident in, of making sure that our capacity is not what is going to limit us, from fulfilling customers need.
Operator: The next question comes from Chris Senyek from Wolfe Research. Your line is open.
Chris Senyek: Hi KR and Dan, thanks for taking my question. I just wanted to confirm something that you mentioned earlier, Dan. Your revenue recognition policy is based on shipment, not delivery. So if that can infer, does that mean some revenue in Q4 was recognized on shipments, i.e. the AEP deal. And if that means all 100 fuel cells were shipped by yearend?
Dan Berenbaum: Okay. So two questions in there. So number one, we have not spoken about specific timing of shipments to specific customers. As a policy, we generally don't talk about specific. Let me just get that out up front. As I said, in general we recognize product revenue on shipments that, you know, way back the company used to be divorced a little bit, we used to recognize more of our product revenue on customer acceptance. That shifted a while ago. So now in general, our product revenue is recognized on shipments. And I think we've been clear about that. It's also very clearly spelled out in our filings.
Operator: The next question comes from Kashy Harrison from Piper Sandler. Your line is open.
Kashy Harrison: Good afternoon. Thanks for taking the question and congrats on the results. Just a quick follow-up to the Safe Harbor. Is there a date, by which the customers need to exercise the option buy to get the 40%? Is there a cutoff date? And then, my main question is just on the competitive landscape. What was obviously, as you pointed out, a lot of demand for on-site power. But we're also seeing some of the oil and gas service companies buying turbines and using turbines to power data centers near term. And so just wondering if you just help us maybe compare contrast what you're doing with them, some of the on-site service companies and when your DCOs and discussions with customers and going head-to-head. I'm just curious, what's the pitches were?
KR Sridhar: Kashy, great questions. Number one is on ITC, as long as the equipment is placed in service by 12-31-2028 according to treasury guidelines, yet meets the requirements and that's all is needed. Obviously customer would have to give us advance notice to be able to build ship to them. And then for that to get installed and up in service. So you need to back that from that date, and that's the only requirement from an investment tax credit policy. On your question on competitive landscape, fortunately or unfortunately, depending on which side you're sitting and looking at it, all the competing technologies collectively put together, have room and more, to be able to deploy. Because the supply demand gap is that large. So we are reading like you do statements from gas turbines, which will be the other option for an on-site power other than what we have. Because between now and 2030 you're not going to have a backyard nuclear reactor, right. So obviously gas turbine is your choice. And you know like you we are reading that they're sold out three to four years ahead. So we just discussed - about you're not going to buy a premium GPU chip, and keep it in a warehouse somewhere. It's you like depreciates pretty fast. So I think we have a play. Turbines have a play. Everybody has a play. So we don't view that right now. We don't see competition being the issue. Thank you.
Operator: The next question comes from Noel Parks from Tuohy Brothers. Your line is open.
Noel Parks: Hello. You just touched on a topic I was interested in. You mentioned SMRs and it was interesting. You mentioned letting your customers speak for themselves. AEP during their quarterly call, sort of framed their outlook as blame for their power generation. That's the near term solution, for the foreseeable future. And they saw the long-term solution being SMRs as ordered. Since heat solutions are also right in your skill set. Any insight on where - you see that business going, when you think it begins to materialize?
KR Sridhar: Sorry, that last part cut out for me and I was looking at Dan, he also nodded. Would you just repeat that last part it somewhat cut out?
Noel Parks: Sure, just any updated visibility you have on the development of the SMR market for you?
KR Sridhar: Look I think realistically right, any kind of nuclear reactor, let alone a new technology coming in, with new fuels and a supply chain that needs, to be created for new fuels. Even if a few initial demos come along the line, when you talk about 30 to 50 gigawatts worth, can they be meaningful in the next six to eight years? The answer is no. Okay. That's what I feel. And again, I have a master's degree in nuclear engineering. I think I'm qualified to speak about it. Okay. So I'm aware of watching the field, and I really don't think you're going to move the needle, between now and another eight years with nuclear. Nuclear should be in our option like so many other things that should be in our option of our energy mix. I truly believe that. But it's not going to move the needle. The reality is the AI war between nations, which has geopolitical implications, not just market implications, is going to be won or lost in the next four to six years. We can't afford to wait for nuclear to come before we do AI. So that's what creates this opportunity for the next four to six to eight years. And for us, look, when nuclear comes, the hydrogen play becomes really interesting. Other things become really interesting. So we have pathways - where we can play with those dynamics. We are not, just because we focus so much on AI. Let's not forget what we told earlier. We have a core business, core business like retail, like telecom, healthcare, all doing extremely well. And that dynamic is again coming from the fear of shortage, the fear of securing their power, and unpredictability of prices going up, and them wanting to take control. So for us, we are luckily sitting in a place, where the dynamics is good from a super growth engine and multiple other growth opportunities, giving us the diversification both across the customer base segments, as well as geographically. We are trying to do the same.
Noel Parks: Okay. Great. Thanks a lot.
Operator: The next question comes from Ameet Thakkar from BMO Capital Markets. Your line is open.
Ameet Thakkar: Hi, thanks for squeezing in and congratulations on a really strong quarter. Just looking at the cash flow statement, it looks like you guys had kind of a $325 million kind of cash benefit from AR coming in one, is that kind of the AWS receivable that we've talked about for a long time? And then second, when we look at your operating income guidance, is there kind of a rule of thumb that we should think of kind of converting the cash flow from operations off of that number?
Dan Berenbaum: Okay. So first of all, in your question on Q4, we discussed having a large related party receivable. So we did collect that related party receivable from SK in the quarter. We were clear saying we were going to do that. We did that. Second, on the operating income guidance, we've given operating income guidance, and I said that I expect cash flow from operations in 2025, to be at a similar level to 2024. We probably won't. Next question, please.
Operator: The next question comes from Jordan Levy from Truist Securities. Your line is open.
Unidentified Analyst: Hi all, it's [Henry] on for Jordan here. Thanks for squeezing me in and congrats on the strong quarter. Maybe just one from me. Maybe with all the policy uncertainty around renewables and the energy landscape right now in the U.S. it seems like carbon capture is an area that actually benefit under the new administration. Do you guys have a sense with your recent announcement around the long-term attach rates, for CCS on some of your products? And you think in the long-term that could be maybe the more economical way for customers to get to net zero instead of, through green hydrogen or something?
KR Sridhar: Thank you for asking that question. We truly believe that decarbonization of the atmosphere will not happen without carbon sequestration, carbon capture and sequestration. And we truly believe that we are one of the best ways to do that. Natural gas to electricity through Bloom, with a high concentration carbon dioxide coming out sequestered into the ground. We view this as a huge opportunity, amazingly huge opportunity. The large hyperscalers who would want to build data centers, would be very interested in reducing their carbon footprint, if this were available today. I think this market is going to take off in the coming years. It's going to take off in a much bigger way, and a faster way in the short-term than, hydrogen will for the obvious dynamics that you mentioned. So we are excited about this announcement we made in a Chart, and we are going to invest in this area, because we truly believe that it's a huge opportunity for Bloom, and it's a great way for us to offer economically viable scale, immediately available technology for carbon capture and sequestration. Thanks for asking that question.
Operator: The last question comes from Dushyant Ailani from Jefferies. Your line is open.
Dushyant Ailani: Hi, thanks for squeezing me in guys. Two quick questions. What's the, I guess the percentage, because I know that you guys talked about book and ship being an increasingly important part piece of other business. So could you talk about what percentage of the guidance is that book and chip for '25?
Dan Berenbaum: No, we didn't - talk. The only thing we said was that a majority of our 2024, was book and ship within the year. But we're not talking about what percentage of the guidance. Again, look, it's a good underlying question. And you should understand that when we look at our forecast, we look at our backlog, we look at potential orders. We have a very rigorous process that we go through in order to understand what our internal plans are, and what guidance we're giving you. So understand the question. Just know that, we're not talking about it in details, but we do think about it quite a bit internally.
Dushyant Ailani: Understood. And then just a quick one, I know that you guys talked about Ohio, Illinois, and then also, talked about access to natural gas. Could you talk about the regions within - in the U.S. where you see kind of opportunities that are, I would say, easier or quicker, that could turn around versus others - look, I think that would be helpful yes…?
KR Sridhar: Look, I think today, if you look at the Northeast, right, very large installations are very difficult to do in the Northeast, because of the pipeline issue. If you look at New York and Massachusetts and other places, because of the lack of pipeline infrastructure, I think the ability to do that is really hard. There are places like Virginia, which are adjacent to West Virginia and Pennsylvania, where plenty of gas is available. And there we expect things to change, and we expect Virginia to become very attractive from that perspective. So we view that area as a good area. But the Great Lakes in the Midwest, I think that's a sleeping giant. It's a sleeping giant, because reshoring of most industries are going to happen in that area. And when that kind of reshoring happens there, those are states that are welcoming of natural gas. Gas is available, the infrastructure is there. And our solution, without needing to add additional transmission, distribution, and making the average ratepayer incur that cost, is going to be politically very attractive. For all those reasons, we think that that's a great market for us going forward. So with that, I think we will say thank you for the questions. And let me close by simply saying, look, very simply put, AI is reshaping the global economy and it's driving an unprecedented demand for power. And the DeepSeek, yes, no, if you're at a loss, I understand that and of understanding what's going on. But here's the reality. DeepSeek or no DeepSeek, there's one thing you can't hide from, you can't seek from. No, hide and seek is they all require power, okay? And they require power now. Lots of it now. And we are purpose built, to be able to provide quick time to power in a reliable fashion, not just for the short-term, but even for the long-term, with all the attributes one would want, short-term, midterm, and long-term. For those reasons, I'm super excited about where we are as a company, to meet this moment. And meet this moment not just for AI and data centers, but frankly, for all businesses. And we can create good economic value while doing good for the country, and the world. Thank you so much.
Operator: That concludes our Q&A session. I will turn the call over again to KR Sridhar, Chief Executive Officer, for some closing remarks.
Michael Tierney: Hi KR, just gave his last remarks. So, we are going to close this out, and we look forward to talking to you on the road in the next few weeks. Thank you very much.